Operator: Good day, ladies and gentlemen and welcome to the Allegiant Travel Company’s Fourth Quarter and Full Year 2014 Financial Results Conference Call. We have on the call today, Maury Gallagher, the Company’s Chairman and Chief Executive Officer; Scott Sheldon, the Company’s Chief Financial Officer; and Jude Bricker, the Company’s Senior Vice President of Planning. Maury Gallagher will provide us with some brief comments and then we will begin our question-and-answer session. First, we wish to remind listeners that the Company’s comments today will contain forward-looking statements that are only predictions and involve risks and uncertainties. Forward-looking statements made today may include among others, references to future performance and any comments about our strategic plans. There are many risk factors that could prevent us from achieving our goals and cause the underlying assumptions of these forward-looking statements and our actual results to differ materially from those expressed in or implied by our forward-looking statements. These risk factors and others are more fully disclosed in our filings with the Securities and Exchange Commission. Any forward-looking statements are based on information available to us today, and we undertake no obligation to update publicly any forward-looking statements, whether as a result of future events, new information or otherwise. The Company cautions users of this presentation, not to place undue reliance on forward-looking statements, which may be based upon assumptions and events that do not materialize. These earnings release as well as the rebroadcast of the call are available at the Company’s Investor Relations site, ir.allegiantair.com. At this time, I will now turn the conference over to Maury Gallagher. Please proceed.
Maury Gallagher: Thank you, Operator. Operator would you go through the process of lining up calls, we’re going to be very short here. If you do that right away, that’d be great.
Operator: Yes.
Maury Gallagher: Well go ahead, give the announcement and then I’ll just comment while the people are queuing up.
Operator: [Operator Instructions]
Maury Gallagher: Thank you, Operator. Just as we’ve come to approach these calls we’re going to keep things very short. We had a very good quarter. You see it in our results. And we’re looking forward to answering your questions, so why don’t we go right to the questions and take them when they’re ready operator.
Question-and:
Operator: The first question comes from the line of Duane Pfennigwerth of Evercore. Please proceed.
Maury Gallagher: Hello Duane. Hello Duane.
Duane Pfennigwerth: Can you hear me? Hello.
Maury Gallagher: Hey, Duane.
Duane Pfennigwerth: Just on the capacity growth plan for this year, Maury I wanted to ask if you could just kind of qualitatively talk about where the new growth is going to be as you kind of accelerate into the second and third quarter, what the mix of fleet type will look like if we sort of play out first quarter into second quarter into third quarter what is the mix of A320, A319 flying look like?
Maury Gallagher: Jude?
Jude Bricker: You're going to mix of growth as in years past we will continue to add new cities which will provide most of our growth, new cities and new markets which will be a mix of new cities and connecting the dots in the form of new markets. This year different from the runs in the past we're going to provide significant growth in the form of increased utilization which is going to come from a variety of things to include extending our flying season and seasonal markets and extending our flying weeks in markets that can handle an increase in frequency.
Duane Pfennigwerth: And can you just touch on what exactly is driving the -- what practically is driving the kind of 4% growth in the first quarter versus kind of mid-teens level for the rest of the year, why is to so constrained in the first quarter?
Jude Bricker: It's constrained because of pilot availability quite simply. We would fly more if we had more crews available to fly more based on our current projections of what the opportunity for flying is. And so you can see us as we catch up on pilot availability towards the back of the year in order to meet those full year capacity growth guidance targets, we will have to grow significantly more in the second, third and fourth quarters and that's what you expect to see from us.
Duane Pfennigwerth: Okay. And then I will just sneak one last one in. When did you effectively stop doing the sub-service I appreciate the disclosure that you had in the press release about how much of that you incurred in 2014 and appreciate that that's effectively an easy comp, but can you say was there any in the fourth quarter and is there any in that 4% growth in the first quarter and thanks for taking the questions?
Scott Sheldon: Hi Duane this is Scott. Yes there is a little bit in the first quarter called a 1.5 million may be a little bit more in the fourth quarter there was roughly call it 3 million which would have been down from the prior year.
Operator: The next question comes from the line of Joe DeNardi of Stifel. Please proceed.
Joe DeNardi: Maury maybe if you could just provide kind of what management’s view in terms of how to plan given the current fuel price environment I mean if oil stays kind of this range or even a little bit higher does that change the way you think about the airlines growth or fleet plans at all, I mean do other aircraft types become profitable or just kind of how you are thinking about how to plan around fuel prices going forward?
Maury Gallagher: Well I think a general rule as fuel comes down older airplanes get more valuable so to speak. The economies of an MD-80 while they worked very nicely for us get just that much better. We have had this growth plan in place now for probably six months to a year and we don't intend to go out and get more airplanes, so we're opportunistic just to begin with, with picking up airplanes where we can find them. Jude and his team are very up much in the market looking for partner deals we can do. But what we can do that we will be I think which you will see in a number of places perhaps who knows, but we can add flying at the margin and though we have had our daily utilization now in the low 5s hours per day. We can probably take that up a 10% factor to maybe 13%-14% and approach the high 5s, 6 hours a day maybe in the back half of the year and that type of expansion should be very profitable given the fuel levels. Jude I don't know if you have anything to add to that but.
Jude Bricker: There is a practical limit on how quickly we can take in used airplanes and so we're still expecting to grow that fleet 7 to 8 airplanes a year. I would think being given where fuel prices are the MD-80 is much more viable than it has been in years past and so we expect that fleet to stay where it is. 
Maury Gallagher: I saw a great quote from the American guys fuel prices were at $100 a barrel for four years, they have been at $50 or less for three months. So you probably shouldn't read a lot into the change at this point in time.
Joe DeNardi: Yes that's fair. In terms of the capacity guidance for first quarter is the pilot -- is March still potential to kind of get the pilot availability issue ready for March flying or is that still going to be constrained at that point?
Scott Sheldon: We've already scheduled what we were able to add so the first quarter capacity guidance is pretty tight and we will have some more flexibility as we enter into April and second quarter beyond.
Operator: The next question comes from the line of Bob McAdoo of Imperial Capital. Please proceed.
Bob McAdoo: Yes, I didn’t see anything here that talked about what you thought fuel might be at or going forward but if I take a look at what you did spend on fuel it looks like it was about $0.33-$0.34 above the average of Gulf Coast for the whole quarter is that kind of a spread kind of a normal kind of thing going forward, we use that or as you get into more and more of your flying is in bigger city Cincinnati, Tulsa et cetera are you going to have more and more fuel that doesn’t have extra cost stuck into it because of trucking versus pipelines?
Maury Gallagher: Yes, I mean the spread between LA and Gulf Coast isn’t that large right now and if these $0.30 above those that’s probably the proxy we’re paying about a 1.80 or just above that right now.
Operator: [Operator Instructions] The next question comes from the line of Savi Syth of Raymond James. Please proceed.
Savi Syth: Just a question regarding the kind of Boeing 757’s write-offs and just wondering when it makes sense to get out of how -- I don’t know I am guessing that fleet eventually goes away?
Maury Gallagher: So the thing that we want to stress on the 757 write-down is that we impaired the fleet based on the most likely outcome which was the retirement of each of those aircraft at their scheduled S4C Check that’s the biggest C-Check in the cycle for that airplane. And all that -- so I would view that impairment as giving us the flexibility to do with the fleet what we think the best thing to do with it at the time that those events come due. So, we’re not committing to anything on that airplane and I would expect us to remain in Hawaii for the foreseeable future.
Savi Syth: And Jude could you remind us like when those aircrafts come for C-Check?
Jude Bricker: There is one that comes due this year and then the rest there is three in the back of, at the tail end of '16 and two at the tail end of '17, tail end meaning like that winter between '16 and '17 and then between '17 and '18.
Savi Syth: And then my last question on the non-fuel cost items this quarter, I know the full year didn’t change but I am just kind of curious what’s driving the higher cost, is it just the ASM production or is there some kind of maintenance timing in there as well?
Scott Sheldon: Savi, this is Scott. Yes, it's two things primarily it's -- you did have some maintenance work from the fourth quarter to the first, we gave you some full year maintenance guidance I believe it was 95 to 105 per aircraft per month. First quarter is by far the highest in the year, so that’s a piece of it. In addition, there is some pilot productivity mark was down in the 50% range in the fourth quarter, we should start to see that, start to increase in the first quarter albeit there is going to be some inefficiencies there. So, there is incremental cost in there just by getting these pilots up and going in on the line. So those are the two impacts if you exclude those, you are probably down in the 3% range.
Operator: The next question comes from the line of Dan McKenzie of Buckingham Research. Please proceed.
Dan McKenzie: I wondered if you can help us put the PRASM guidance into perspective for the first quarter here and so I am looking at much slower growth relative to the fourth quarter. You had a mid single decline in the PRASM, so it looks like there is a step function in the revenue outlook and just given the strength in the East Coast, I wouldn’t have guessed that. So I wonder if this is perhaps some increased competitive capacity that you're seeing and I guess the reason I am asking is as we moving to the second quarter growth does step-up pretty sharply, so I am just wondering if there is some things that you're seeing or some things that you could point out just to help us frame that?
Maury Gallagher: I mean maybe we should just stop guiding PRASM at all. I mean I think the number to watch is TRASM and we’re basically guiding flat in that respect and I want you to think about our unit revenues in the light of a couple of things that are going on, first one is the year-over-year effect of the increase in the 9/11 security tax which went from 250 to 560 and just pass that on, we’ve also implemented an increase in the convenience fee from $10 to $13 per segment which will be TRASM neutral but take down PRASM and increase ancillary. And then we’ve enacted a credit card surcharge, we talked about it at Investor Day which came into effect in December and that will move whereas before we had a debit card discount which hit the fare, increased fare effectively that will now go to a counter expense our marketing expenses. So considering it's flat and we’re riding through all those things on a year-over-year basis. So I think things are very positive.
Dan McKenzie: Okay. Thanks for the clarification and did notice that the TRASM was flat, but that helps.
Maury Gallagher: But going forward Dan let me just give you little bit more, as we go forward and as we said before we’re going to be real focused on trying to take up utilization in today’s fuel environment and that will have a negative effect on unit revenues as we try to drive more flying into off peak periods.
Dan McKenzie: And then for a second question here kind of an update of a question I asked last quarter and that’s just as you think about your aircraft and financing and CapEx is there -- are some of these deliveries just given the cheap financing that is out there are you thinking to take advantage of some of the cheap financing or is the thought just simply to pay cash?
Maury Gallagher: That’s got to be very simple, we’re going to pay cash until it needs to be replaced in which time we’ll go to the loan market and take out some bank debt. I think you’re right I think rates -- so we’ve been financing variable rate 3%, and fixed rate 4%. I think we could beat those numbers substantially in today’s market it’s just about finding the use of proceeds.
Dan McKenzie: Understood, so should we think about these six aircrafts that are coming potentially financing, a portion of it just to take advantage of the cheap financing?
Maury Gallagher: Depends on how -- where our cash balances go, but we’re not ready to commit to that today.
Operator: The next question comes from the line of Hunter Keay of Wolfe Research. Please proceed.
Hunter Keay: So looks like on lower CapEx this year 2015 is going to be really good free cash flow year for you guys, Maury can you talk about strategically I guess we saw the dividend here, can you talk about maybe strategically how we should think about you guys deploying cash either in the context of a percentage of free cash flow basis or maybe on a percentage of net income basis? How should I think about modeling in what you’re going to return to shareholders, assuming let’s say let’s call it a constant fuel price environment?
Maury Gallagher: Well you are getting me down in the technical math here, and so we’re certainly going to have a very good year. I think I was reading where someone American suggested they’ve got a $5 billion surplus coming out of their system for fuel savings being non-hedged and we’re certainly seeing a lot of that. We haven’t finalized what we’re going to do with the cash yet, certainly we did kind of enhance our distribution to shareholders with the dividend that we announced $0.25 a quarter. We will certainly look to purchase stock. We’ve got an $86 million remaining line still open. And the Board is very supportive of that. And so between dividends and stock buybacks, those are certainly available to us and we’ll look to use those the way we’ve done historically. We have some flexibility as well though because, we can buy some of our airplanes cash now and think about using it that way on the balance sheet. So you’ll just see more of the same I think Hunter as far as the percentages go. I think our average fuel price was $3 and change in the second quarter and we’re probably looking at what $1.80 for the year, it’s $1.90 now. So you got a $1.20 difference plans or 150 million gallons. That’s a lot of free cash. So we’ll have to -- we’ll come up with some good ways to do that though.
Hunter Keay: Yes that’s true and I mean the limited -- the light float in the stock doesn’t necessarily deter you from buying more of it at this point though right, I mean that could…
Maury Gallagher: No, no not at all, you’re also paying $180 a share that’s -- and we’ve always had our debates at the Board level say, is that too much? And you look back we were having that debate when we were $50 a share. So it’s -- the Board certainly supports it and we think we’re a good buy even at these prices because, we feel pretty bullish about the state of the airline right now.
Hunter Keay: And as you think about Allegiant sort of in the context of some of your -- the other bigger airlines, what do you think Maury Allegiant does better and where do you think you do worse? And in those areas where you do worse, is this maybe the year to sort of spend some money and close the gap like whether it’s an IT issue or like an ISE type thing? Like -- is there anything that you’ve kind of envied without naming any specific competitors about another airline that you just haven’t wanted to pony-up and spend the cash to kind of close the gap that you might consider doing that this year?
Maury Gallagher: Well envy is an interesting, if not one of the seven deadly sins but the -- I think what we’ve said internally we have two major projects we’re dealing with our labor groups which we want to get something put to bet on that that’s certainly something that needs to be addressed quickly. And we’re willing to work hard at that part and plan on it. The second thing is we’ve got housekeeping issues to deal with that we’ve talked about internally and frankly we don’t answer our calls as fast as we’d like. That’s a combination of staffing and IT issue I think. And we’re looking hard to work on those things better. IT has certainly been a big push for our internally for the last three-four years and we’ll see a lot of culmination I think in some of those projects, so we’re definitely get our head down and looking -- maybe a good analogy is we’re still in short pants and trying to become the adult as we go into our 13th or 14th year here and we’ll get a lot of these things cleaned up that we are a little rough around the edges on. So we’re definitely focused on that type of thing, Hunter. Hunter and maybe I’m envious Southwest they do a great job of answering the phone calls, but I’m not sure I want to be quite that good.
Operator: The next question comes from the line of Helane Becker of Cowen Securities. Please proceed.
Helane Becker: When I look at the numbers for the fourth quarter and I see that rental car days were really up quite a lot in fact significantly more than the full year. So can you just mention what might have driven that and if we can expect to see that kind of growth in 2015?
Maury Gallagher: I think rental car days are up primarily because of the growth that we're experiencing in Florida. As we go into the first quarter the East Coast I think for the first time will be more than 50% of the entire scheduled service network and rental cars is so much better out there and I don’t understate the work that's been done by our third-party team and we have launched recently some new technology that's gaining some traction. And so I think we will continue to you have revenue uptick even in those areas looked in isolation. So I am very bullish on rental cars I think we're going to continue to see those trends going forward.
Operator:
. P:
Glenn Engel:
and :
Maury Gallagher: That will continue to expand actually.
Glenn Engel: And on the growth side I guess you sort of touched on it can I assume that the growth is going to still be more in the East Coast than the West Coast?
Jude Bricker: Glenn this is Jude, yes we expect you can look at our schedule is very public clearly and so yes through the selling schedule we expect to see the predominance of our growth remain on the East Coast.
Glenn Engel: And lastly I guess there was just a conference call with the Teamsters any comments on that, any inaccuracies you would like to correct?
Maury Gallagher: Glenn it’s Maury I didn't the conference I am not sure what was said. Particularly they are trying to promote their issues and alike and so they are out talking to people but I didn't listen to the conference so I couldn't tell you.
Glenn Engel: And is there progress going on or is there just still or how much closer are we in the last 2.5 years?
Maury Gallagher: Well the average first contract takes four years or longer and so we're two years into it. And there has been posturing by us and by the Teamsters so I am not going to sit here and say otherwise. But we have committed to getting things moving along we want to give guys and ladies they want a contract and we would do it certainly all this rhetoric and histrionics is distractive to both of us. I will say that we had meeting scheduled in December and January that got changed because of the negotiator lost their money from the Federal government, so we had to reschedule back to Washington DC to have a meeting and we were prepared to go and the Teamsters choose not to come. So we missed two months in negotiation which was very disappointing as far as I am concerned but we will get through it. We have got to focus, we have got a management team and a Group that we want to together and it’s good times for everybody, we should be working on the positives.
Glenn Engel: And…
Maury Gallagher: I appreciate your but by the way Glenn.
Glenn Engel: I think that is unfortunately late in coming. No, that is all I have okay thanks.
Maury Gallagher: Thanks Glenn, have a good day.
Glenn Engel: I am sorry I just have one more. Pilots, is there any sign of -- are you having any difficulty signing pilots, you heard that for instance is that an issue for you at all?
Maury Gallagher: Not at this point. We certainly seem to be have very qualified good numbers are available to us.
Operator:
. :
Steve O'Hara: Just quickly I guess can you just talk about the competitive capacity you are seeing in your markets, has there been any change. And then kind of on the hedging thing I know you guys haven't done it now for quite some time and really have been against it. I am just wondering have you been looking at it all or is it something you consider more as an offensive rather defensive move at some point?
Maury Gallagher: Steve it's Maurice I will take the hedging question first and Jude can comment on the competition. We wouldn’t know how to hedge now it's been so long, we're -- I am a big believer about cost of hedging is just amazingly expensive and it's very non-transparency you don't quite know what it is but we take the difference I am just seeing in notes from folks like yourselves. I thought I saw this coming year American’s is going to have a $0.45 in their cost per gallon for the year because of hedges. That's a huge that will pay for a lot of cents. And so yes I guess you could think about hedging down here but it's just we feel that that's not our business it's speculation, we don't understand it, we don't understand what it’d cost and so we're just better off to keep it simple, stupid. Jude?
Jude Bricker: Well the business model hasn't changed and we wouldn’t try to go where no one else is. I think you're going to see the percentage of markets that are competitive in our network increase over -- and it has been going on and will continue to go on as we expand in the larger cities and frontier kind of chose to figure out what they are going to do and who they are going to be. But we’re winning everywhere right now, so we’re looking for all markets, everything is on the table right now in today’s environment. But the core is flying where no one else is, finding opportunity in either seasonally underserved markets or day week peaks that we can provide capacity without influencing those that are in the market or if there isn’t anyone there at all.
Steve O'Hara: And then just maybe a follow-up on hedging, I mean in terms of your internal planning, I mean what fuel prices do you guys -- using right now for let's say 2015-2016 and are you may be leaving too much on the table fuel stage right here for that period of time or if it ratchets back up maybe quicker than expected are you putting too much out there? I mean so how do you think about that and maybe you can talk about your sensitivity analysis internally?
Maury Gallagher: Well candidly Steve, well for planning purposes it is a forward curve which is published -- they are out there you got a contango curve now. So, if we wanted to go by hedges in the future and walk up $0.10 or $0.15 you're going to or out there you're going to pay more to begin with. So, I think that ability to hedge and put a cap on it it's already been priced into the forward curve at this point. So, the cost would be even greater to go put that hedge on. And as I said before, we really don’t think of that as part of our business model. Frankly fuel hasn’t been that volatile, if you go back the last three or four years, I draw four graphs when I talk to people about fuel, one is with the line going up very gradually left to right, another with the line coming down left to right. Another with the line with just kind of a wave and then another one with a spike that goes up is directly up and then fall straight off. So which one of those do you want to hedge on, if you did the latter one that’s what you didn’t await and you almost lost your business, if you're putting swaps on. I mean just -- the best time to hedge was 2002 to about 2008 or '09 and after that hedging I think really got upside down and Southwest made that game work very well for about six-seven years. But my guess is if you went back and looked at hedging costs and benefits in the last five years if you hedged you lost money compared to those that didn’t.
Operator: We have a follow-up question from Savi Syth of Raymond James. Please proceed.
Savi Syth: Just a couple of questions, one on to follow-up on Helane’s question on the third-party, the hotel year-over-year did better than it’s been doing in the last few quarters, is that because you lost that contract issue and we should kind of expect us another level going forward?
Maury Gallagher: Yes that is the reason and you should expect the similar level going forward on a dollar basis. Now understand that Vegas remains the most productive hotel market and Vegas as a percent of the network is declining.
Savi Syth: And then on the fixed fee, it looks like fixed fee was very good here in the fourth quarter, I was wondering what drove that and maybe is it a kind of the pilot tightness that’s kind of limiting the outlook on the first quarter?
Maury Gallagher: Probably got a great charter team, yes, I mean it does not really -- part of it is that we aren’t able to with the pilot situation happening the way it's happening we’re having -- we have excess assets aircraft and so when pilots become available, we can commit to charters which has allowed us to grow the charter program in the last couple of months. And we hope to have a big charter quarter for the first quarter as well.
Savi Syth: So is the pilots then were pretty much caught up here as we head into the second quarter, with I am guessing available some service then going forward?
Maury Gallagher: Yes, I think we can schedule the airline more normally beginning in April.
Operator: The next question comes from the line of Michael Linenberg with Deutsche Bank. Please proceed.
Michael Linenberg: Just two questions here, can you just give us an update on sort of where you are with respect to offering newer international service, how that capability is progressing? Or has it just maybe then pushed to the back burner since you are starting to see a lot more opportunities in some of these medium sized markets like Indianapolis?
Maury Gallagher: Well, I will give an overview comment and Jude can give you more particulars. Yes, the low hanging fruit is certainly domestic and it's just easier operationally every aspect with customs and things like that, so the extent we can keep growing in this market. We don’t believe we’re losing anything in the south of the border type of markets or the Caribbean at this point in time. But there is work to be done to get ready to do that and there is just another things we’re focused on at this point Michael. Jude?
Jude Bricker: Yes, much of that and then there is just about relative opportunity.
Michael Linenberg: Is there any sort of milestone or timeline or the way we should think about it? I mean in the past I remember you were so to saying late '13-'14 and then maybe late '14 or is there just no day?
Jude Bricker: We’re not ready to commit to a day today. It would be a winter launch, so it either gets done this year for this fall or then we obviously we have to wait another year.
Michael Linenberg: And then just a second question and this is to Maury, just on your stock price. You’re right up at a $180. We talk about -- I know earlier Hunter had asked about the liquidity of your stock, have you ever thought about a split -- splitting the shares maybe making it more available to a retail investor who typically will buy and hold and add some stability to the stock price? Does that make any sense or are we on the Warren Buffett, Berkshire Hathaway path?
Maury Gallagher: Now let me have your recommendation Michael, let’s -- I’m always looking for experts and you sounded like you endorsed the split there of what the…
Michael Linenberg: Yes, you know what, I mean there is -- I mean if you look at the studies that are out there. I mean there are a lots of studies out there and if you think about more technicals rather than fundamentals, if you think about liquidity and even with respect to earnings guidance, you get companies out there that guide to the penny on EPS range and that’s actually easy to do when you have a billion shares out there as opposed to less than 20 million shares. And I’m not saying that you’re guiding on an EPS basis, but it opens up those opportunities. And then retail, I mean my sense is that there are people who fly you and enjoy the experience and consider investing in your stock. And when you look at the fact that to buy three or four shares equals the price of a vacation, they’d probably balk.
Maury Gallagher: It’s not a debate. No, no a point well taken, we have certainly talked about it we’ve had debates at the Board and it’s hard to get a consensus. Some think that it’s indicative of certain things, if you split, others think that -- anyway but, I appreciate your input and we’ve certainly had discussion. We’ve not reached the consensus yet.
Michael Linenberg: Well very good, and listen I like the $180 price, so I’m not upset here.
Maury Gallagher: Again if you were involved with us old many years ago in late '06, we’re up 10 fold in eight years. So we began at 18, if you remember which is…
Michael Linenberg: I know. It’s been fantastic.
Maury Gallagher: Yes, it’s been good.
Operator: We have a follow-up question from the line of Duane Pfennigwerth with Evercore Partners. Please proceed.
Duane Pfennigwerth: Just wanted to ask a market specific question, obviously a tiny piece of what you do, but you had some service directly into the Bakken. I think it’s Minot if I remember correctly in terms of my pronunciation please correct me if it’s wrong, but again small for you. Are you seeing any change in fare levels or bookings out of the -- that you serve? Thanks for taking the question.
Maury Gallagher: Not yet. I think that the demand will shift on production not price. And they’re still producing up there and there’s plenty of work up there still. But we’re watching, Bismarck is the same, Bismarck Minot. And we have several economies up in that region that are shale economies, but thus far everything looks good.
Operator: We have a follow-up question from the line of Hunter Keay of Wolfe Research. Please proceed.
Hunter Keay: Again I guess a little bit of a follow-up to that I mean Jude I don’t think we have really asked the question just directly can you maybe just describe how demand is right now at a high level and maybe where you’re seeing pockets of strength, pockets of weakness or just Maury if you want to do it actually at a high level, how are you seeing demand in response to lower fuel prices?
Maury Gallagher: But the high level things are good we’re holding unit revenues where they are and growing into the first quarter. We are unaffected by as much as any other low cost carrier by competitive encroachment or what’s going on in competitive environment, so we’re kind of here operating on our own. And in that respect, same-store same-capacity level no competitive interference things are pretty good. We are seeing if I could get a little more granular, we’re seeing a little bit of pressure in the West, wherein there’s opportunities for slow travel to Salt Lake by a way of example from the Montana markets things like that. So we’re seeing some regional weakness, but we’re also seeing some real strength coming out of the Northeast in High River Valley.
Hunter Keay: And maybe just sort of like a procedural question for you without getting any kind of opinions about what is going to happen with this pilot situation. I believe they have proffered the NMB for arbitration. And I’m wondering if someone can help us all understand at all what the possible outcomes are with timing for this when do you expect the NMB to rule on this and if they do proffer you, maybe the potential outcome for that? And if they don’t, what the next step would be? Just to help investors get a sense of timing around this whole crazy situation would be helpful, if you can. Thank you.
Jude Bricker: Yes, well first thing Hunter it’s not that crazy, it’s pretty tactical at this point. It’s -- the NMB proffer is when one side puts in a offer to go to arbitration and the NMB then comes back to the other side and says are you willing to do this. And if you decline arbitration, then the other side has the ability to win the 30 day cooling off period as I understand I could be technically wrong it’s a bit of a technical area, but I’m pretty sure that’s what it is, we’ve been told by council that we’re very premature in our state of negotiations and again we have got in -- been in mediation with the NMB mediator for like 7 months?
Maury Gallagher: 7 times.
Jude Bricker: 7 times, maybe 6, 7, 8 months meeting month-to-month and there we are very early on in all of the basics of putting a contract together like I said earlier it takes on average four years or more to do this. So our counsel and discussions with NMB suggest that this is very premature, there won't be any recommendations from current management at the NMB to do this without getting much further down the road if at all. I don't know if you have noticed but you haven't seen one kind of 30 day period popup since the Spirit strike or what three-four years ago now and we have people that are six and seven years in negotiations under mediation. So there has just been a real trend at least that I have seen where the NMB has not releasing people or letting those types of events even get to the front burner, let alone happen. So anyway those are our personal opinions and we will have to wait and see what the NMB does and we will respond to it. But I don't expect that we will see any untoward actions here in the near-term.
Operator: The next question comes from the line of Dan McKenzie with Buckingham Research. Please proceed.
Dan McKenzie: Question really ties to non-fuel CASM, we're looking at up 6% to 8% for the first quarter essentially flat to down 4% for the full year if we exclude the non-cash aircraft impairment charge. And just wondering if you can talk about the cadence and maybe some of this is just self explanatory just given ASM growth by ASMs by quarters. But if the cadence is there something we should be keep in mind with respect to the cadence that would be helpful?
Scott Sheldon: Yes this is Scott. There is really not a whole a lot to look into it. If you look at the unique that happened throughout the 2014, there is upwards of roughly 25 million-26 million in training and pilot availability issues, you had gold depreciation that's non-ASM producing, yes but the write down in the back of the fourth quarter, Andrew Levy leaving in the third quarter, so if you kind of look at the timing on those events and kind of strip those numbers out. I think what's interesting is when you strip those out in the full year '14 you basically have flat CASM ex-year-over-year it's roughly $0.056. So as far as the interruptions it’s first half '14 was the severity and then the back half was the write-down. So tried to give you some full year guidance on M&A, it's front half loaded, the DNA line item is relatively flat that’s the ownership fee, so kind of piece those together and you can see the seasonality in the CASM trend.
Operator: We have a follow-up question from the line of Joe DeNardi with Stifel. Please proceed. Pardon the interruption it looks like that question was cleared from the queue.
Maury Gallagher: Any other questions operator?
Operator: At this time we have no further questions. I would not like to turn the call back over to management for closing remarks.